Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Camtek Third Quarter 2013 Results Conference Call. All participants at present in listen-only mode. Following management’s formal presentation, instructions will be given for the question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded November 7, 2013. I’d now like to hand over the call to Mr. Kenny Green of CCG Investor Relations. Mr. Green, please go ahead.
Kenny Green: Thank you, and good day to all of you. I would like to welcome all of you to Camtek’s third quarter 2013 results conference call. And I would also like to thank Camtek’s management for opening this call. With us on the line today are Mr. Roy Porat, Camtek’s CEO and Mr. Moshe Eisenberg, Camtek’s CFO. Roy will start the call by discussing recent developments within the company and in the market and he will also discuss the outlook. Moshe will give you the overview of Camtek’s performance in the third quarter and summarize the financial results. Before we begin may I remind all listeners that certain information provided on this call are internal company estimates unless otherwise specified. In addition, this call may contain forward-looking statements. These forward-looking statements only predictions and may change as time passes. Statements on this call are made as of today and the company undertakes no obligations to update any of the forward-looking statements contained whether as a result of new information, future events, changes in expectations or otherwise. Investors are reminded that actual events or results may differ materially from those projected including as a result of changing industry and market trends, reduced demand for services and products, the timely developments of new services and products and their adoption by the market, increased competition in the industry and price reductions, as well as due to other risks identified in the Company’s filings with the SEC. Please note that the Safe Harbor statements contained in today’s press release also covers the contents of this conference call. In addition, during this call certain non-GAAP financial measures will be discussed. These are used by management to make strategic decisions, forecast future results, and evaluate the Company’s current performance. Management believes the presentation of non-GAAP financial measures is useful to investors’ understanding and assessment of the Company’s ongoing core operations and prospects for the future. A full reconciliation of non-GAAP to GAAP financial measures are included in today’s earnings release. After Roy presents his opening statements, we will then open the call to the question – to Moshe and then to the question-and-answer session. I would like to hand the call over to Roy. Roy, go ahead, please.
Roy Porat: Thank you, Kenny. Hello and good morning to everyone. Thank you for joining us. Let me begin by saying the Camtek financial results in the third quarter. Revenues came in ahead of our guidance at $21.7 million, and we maintained our top line at a similar level to those of last quarter. In the third quarter, we maintained close control of our OpEx and on a non-GAAP basis, we generated operating profit of $0.8 million and $3 million of operating cash. We witnessed growth and demand mainly in our semiconductor products. The diversity in our markets allowed us to compensate for slight drop in the PCB business with a slight increase in the semiconductor business. The overall trend in our core business continued to be strong during the quarter and we do see it holding. The revenue level last quarter, this quarter, and our anticipation for the next quarter are good indication for moderately sound spending cycle. The overall expectations are for our prolonged semiconductor capital equivalent spending. Camtek is enjoying the technology dynamics in the industry, strive to 2X and 1X nodes in the front-end of the semiconductor market and accelerated growth in advanced packaging semiconductor market create opportunity for process control and dealer enhancement solutions with a customer base that we enjoy a real long-term partnering relationship. The process we witnessed last quarter all came into play in the third quarter and the fourth quarter, and were just small bumps along the way related to inventory correction made by one of our leading Asian IDM customers. The general atmosphere is positive, although some hesitating remains. We see planning, talking, and expectations of continued growth into the fourth quarter and the beginning of next year. The market holds numerous opportunities that are aligned to our plans. The first and most immediate is the continued strengthening of our leading position in the back-end semiconductor market. The challenge is that the new advance packaging technologies creating may add additional data point collection to the process and allow us to sell our product in more areas along the new processes that are being developed. We are certainly in a good position to enjoy these opportunities as they enforce. We will continue to see good market positioning in our Phoenix system in the PCB inspection business. And we are expecting our long-term growth plans to mature with the plant launch of 3D inkjet solder mask printer next year. It seems that after a few years we are finally getting closer to executing on our long-term plans. I would like to provide a closer look at our markets. The semiconductor business in the third quarter was driven by a variety of Asian OSATs mainly renting up capacity for their advanced packaging products in general with Flip Chip CMOS and wafer level CSP, segments driving demand. The third quarter started with some push outs and atmosphere that generated hesitation market wide. During the quarter demand started picking up and we actually finished slightly better than we initially expected as we are in the middle of the fourth quarter we can report that we continue to see some demand and expect to see growth in our inspection metrology business for the backend semiconductor predominantly related to advanced packaging. I would like to touch base on the ICON 3D HD opportunity we discussed in the past. To remind you current inspection and metrology strategies that are deployed in advanced packaging include two to three stages in the process were most of our customers using inspection metrology tools to collect data improve the process and showed bad devices from good ones. The advance packaging technology of 3D-IC may require 5 to 7 data collections points to ensure the process yield, while we currently sell tools to these applications to process development teams with IDM foundries and OSATs including some research institutions, it has not yet been adopted for mass production, mainly due to cost and process stability. Obviously it’s cross benefit to the end customer, it’s yet to be proven and we certainly dedicate its penetration rate. Camtek is well positioned to offer customers numerous solutions from inspection and metrology to cope with these challenges, this new emerging technology will bring. The good news is that this opportunity is in front of us during the quarter, we sold a third exact tools and existing leading IDM Asia, going to the PCB part of our business, the third quarter was fairly good quarter for our PCB inspection business with average demand for our products as always this business is driven mainly by Chinese and Taiwanese accounts expand both in Taiwan and China. The Phoenix platform has taken good position as a leading tool in the industry in addition to sales of new tools, we are also generating revenues from system upgrades allowing the existing customers to enjoy some of the benefits the new Phoenix technology brings. I want to add a short update on our 3D digital inkjet solder mask printer, last quarter we reported that we have internally passed the technology feasibility phase and expect to bring a product into benefiting early next year, today we should reassured that you can show the technology the ink, the ink heads and the application. In our opinion, the main technology risk is behind us most of the current tasks are on an engineering level and we expect to start test at a customer site within eight to 12 weeks it has been a long way in getting this point. We are excited and despite a much longer development stage and originally planned, we believe we are ready for these first customer tests to remind all of you, this 3D solder mask printing technology will expand our addressable market by an additional $600 million to $700 million, no doubt a big number for Camtek, it creates a great opportunity to sell many printers, but even more exciting is the opportunity for future consumable ink revenues. To summarize the third quarter, I’m pleased with Camtek financial results we are positioned well with the new products and the great cost structure that will allow us to leverage and up cycle. I’m especially content with the advances made with our 3D printer DMD, I am sure it will become a major part of Camtek’s store in the next two years, in terms of guidance for the Q4 2013, we expect revenues to be between $22 million and $24 million. I would now like to turn the call over to Moshe to review the financials. Moshe?
Moshe Eisenberg: Thank you, Roy, and hello, everyone. You can find the detailed results in the press release issued earlier today. Revenues for the third quarter of 2013 were $21.7 million. This is compared with revenues of $23.7 million as reported in the third quarter of last year and $22.3 million reported in the prior quarter. For the quarter revenues from sales and services to the semiconductor industry was $13.9 million, representing 64% of our total revenues. Revenues from sales and services to the PCB market were $7.8 million, representing 36% of our total revenues. Our geographic split of revenues for the quarter was as follows: China was the strongest region during the quarter, representing approximately 23% of overall revenues, Taiwan was 20%, Korea was 19%, and the rest of Asia was 19%. US sales accounted for 12% with the rest of the world was the remaining 7%. Unless otherwise mentioned, I’ll now summarize the rest of our results on a non-GAAP basis, which exclude annual revaluation in respect of our Sela and DMD product line and share-based compensation. The reconciliation between GAAP and non-GAAP results also appear in the table at the end of our press release issued earlier today. Gross profit for the quarter was $9.8 million representing a gross margin of 45%. This is compared with $11.5 million or gross margin of 48.5% in the third quarter of last year, and $9.9 million or gross margin of 44.4% in the previous quarter. The change in gross margin compared with prior period was mostly due to the change in the revenue level and product mix between quarters. Operating expenses in the quarter were $9 million. This is compared with $8.2 million in the third quarter of last year and $8.7 million in the previous quarter. The strength of the Israeli Shekel versus the U.S. dollars compared with the exchange rate in the third quarter of last year had a significant impact for our operating expenses across the Board, increasing debt by approximately $600,000. Obviously this is a major impact on a single quarter. R&D expenses were $3.5 million, this is slightly higher than the R&D expenses in the third quarter of last year at $3.2 million and at the same level if those in the previous quarter. It is important to note at the end of last year, we took steps to reduce our operating expenses and we lowered our break-even point. We continue to look for areas in which we can lower our expenses and we remain very focus on managing our business in a lean way. The break-even point on an operating level is currently between $18 million to $20 million depending on product mix and timing of operating expenses. It is important to note that this has been achieved despite the strong Shekel versus the U.S. dollar in the quarter. Operating profit for the third quarter of 2013 was $819,000 or 3.8% of revenues. This is compared with operating income of $3.3 million in the third quarter of last year and $1.2 million in the previous quarter. Net income for the third quarter of 2013 was $545,000, or $0.02 per share. This is compared with a net income of $3.1 million, or $0.10 per share in the third quarter of last year and $991,000, or $0.03 per share in the previous quarter. Net cash and cash equivalent and short-term deposits as of September 30, 2013 were $20.3 million compared with $17.6 million as of June 30, 2013. We were able to increase our cash level to beyond $20 million through the strong operating cash flow of $3.1 million in the quarter. We will now open the call for questions. Operator?
Operator: Thank you, sir. Ladies and gentlemen at this time we will begin the question-and-answer session. (Operator Instructions) The first question is from Jay Srivatsa of Chardan Capital Markets. Please go ahead.
Jay Srivatsa – Chardan Capital Markets: Thanks for taking my questions. Congratulations on a good quarter and good guidance rate. Let me ask you a few questions in terms of the split, I’m not sure, I caught that what’s the split between PCBs and semi’s in Q?
Moshe Eisenberg: Okay. Let me share that.
Roy Porat: The spilt is a $13.9 million, semi is $7.8 million PCB.
Jay Srivatsa – Chardan Capital Markets: Okay. As you look a ahead, you’d talked about recovery, what’s your view on the PCB business over the next few quarters, given that semiconductor business, obviously it’s going to start to show some strength.
Moshe Eisenberg: Okay. Well I think the PCB side of our business today is actually stable, I don’t expect any significant growth coming from that, and even if we do see some growth its becoming more slower part of our business going forward, I think the exciting part about the PCB side of our business is, as I’ve said that we expect to have 3D printer in customer testing in just a few weeks from now, and I think that certainly will, if I look at longer terms in a few quarters, than I think that will certainly be a big influence from our PCB side of the business.
Jay Srivatsa – Chardan Capital Markets: Okay. In terms of the semi business we’ve heard this before about semiconductor recovery, I think we heard in last year, we even heard it earlier this year, and what gives you the confidence that we’re actually in a recovery now and things all start to improve as we get into 2014?
Roy Porat: Well confidence is a big word, I think in general, the general atmosphere is relatively good, I think we have relatively good visibility for the beginning of this quarter, we are already in the middle of the quarter, so we have relatively good visibility on to our estimation, how its going to end, and again I think the general atmosphere is positive and we do see a at least I would say for the next six months, okay. It could be longer, positive sign for the market, beyond that very difficult to say, how things plan out, normally we have shorter visibility and I think relatively because of the market I think its been, I think from our point of view, I mean if I look at the last three quarters, the semi side of the business has being growing and from last quarter to this quarter, its solidly grew about a few million dollars in terms at least the semi tools inspection. And I think its going to continue to grow with a few million into the fourth quarter. And looking at the beginning of next year, it looks positive so, beyond that it’s a bit difficult to estimate.
Jay Srivatsa – Chardan Capital Markets: And in terms of DMD clearly looks like made a lot of good progress, what’s your expectation in terms of when it starts to contribute meaningfully into your revenue line?
Roy Porat: I will think it will have a big impact on the revenue line in the near future, no doubt in my mind again as I’ve said I think, the risk element big part of the risk element is behind us in terms of the technology, and we’re few weeks from putting tooling to a customer. And I think the next milestone is really meeting this milestone which will be few weeks from now. So by next quarter call, I hope I’ll have more interesting update. And I think we’ll take it once step at a time and I don’t think I want to go into details right now of expected revenues in 2014, a little bit too early for us to estimate. And we have to remember, although 3D printing is it’s a technology out there already, but 3D printing for our application, which is a functional 3D printing, has not been done yet in the world. So as far as I know we’re the first one. So I’d rather take it more headed into more, I would say careful in guiding top line or bottom line contribution for this business.
Jay Srivatsa – Chardan Capital Markets: Thank you very much.
Operator: Thank you. (Operator Instructions) There are no further questions at this time. Before I ask Mr. Porat to go ahead with his closing statements, I would like to remind participants that a replay of this call will be available on Camtek’s website, www.camtek.co.ir, beginning tomorrow. Mr. Porat, would you like to make your concluding statement?
Roy Porat: Thank you everyone for joining the call.
Operator: There are appears to be another question. Would you like to take it?
Roy Porat: Sure. Why not.
Operator: Okay. Your question is from George Melas of MKH Management. Please go ahead.
George Melas – MKH Management Company LLC: Good morning, thank you very much for taking the question. Can you give us a little more update on the exact tools? I think you placed one, two of this quarter. Can you give us a little bit update and say if you are going to meet your full year target for that?
Roy Porat: So it is – I think I’ve said it is the third tool that probably one of the top five players in the world an Asian player and I expect the same player will buy more tools next year. That’s about the range of the business right now
George Melas – MKH Management Company LLC: And how many tools do you have right now in the field?
Roy Porat: I don’t think we’re about 10 I think if I remember correctly around 10 tools.
George Melas – MKH Management Company LLC: Okay. And is it performing well, is it?
Roy Porat: Yeah, obviously the customer is buying the third tool it’s probably doing what you need to do, okay…
George Melas – MKH Management Company LLC: Okay, great. Okay, thank you.
Roy Porat: Sure. Right, thank you everyone for joining the call. See you all next quarter.
Operator: Thank you. This concludes the Camtek third quarter 2013 results conference call. Thank you for your participation. You may go ahead and disconnect.